Operator: Please standby. Your program is about to begin. If you need assistance on today's conference, please press Welcome to the OneMain Holdings, Inc. First Quarter 2025 Earnings Conference Call and Webcast. Hosting the call today from OneMain Holdings, Inc. is Peter Poillon, Head of Investor Relations. Today's call is being recorded. At this time, all participants have been placed in a listen-only mode, and the floor will be open for your questions following the presentation. If you would like to ask a question at that time, please press 1 on your telephone keypad. If at any point your question has been answered, you may remove yourself from the queue by pressing 2. We do ask that you limit yourself to one question and one follow-up. And please pick up your handset to allow for optimal sound quality. Lastly, if you should require operator assistance, please press 0. It is now my pleasure to turn the floor over to Peter Poillon. You may begin.
Peter Poillon: Thank you, operator. Good morning, everyone, and thank you for joining us. Let me begin by directing you to Page two of the first quarter 2025 investor presentation, which contains important disclosures concerning forward-looking statements and the use of non-GAAP measures. The presentation can be found in the Investor Relations section of the OneMain Holdings, Inc. website. Our discussion today will contain certain forward-looking statements reflecting management's current beliefs about the company's future financial performance and business prospects. These forward-looking statements are subject to inherent risks and uncertainties and speak only as of today. Factors that could cause actual results to differ materially from these forward-looking statements are set forth in our earnings press release. We caution you not to place undue reliance on the forward-looking statements. If you may be listening to this via replay at some point after today, we remind you that the remarks made herein are as of today, April 29, and have not been updated subsequent to this call. Our call this morning will include formal remarks from Doug Shulman, our Chairman and Chief Executive Officer, and Jenny Osterhout, our Chief Financial Officer. After the conclusion of our formal remarks, we will conduct a question and answer session. I would like to now turn the call over to Doug.
Doug Shulman: Thanks, Pete. Good morning, everyone, and thank you for joining us today. We feel great about the results in the first quarter, especially the continued positive credit trends. The decisive actions that we took to tighten our underwriting, optimize pricing, and find opportunities for growth, without loosening our credit box, are now showing up in the bottom line. And it put us on an upward trajectory of capital generation and earnings. We remain confident in our ability to execute on the 2025 financial objectives that we laid out at the beginning of the year. We are operating from a position of strength. Like every company, we are operating in an uncertain and rapidly evolving macroeconomic environment. However, as you know, we have been underwriting loans over the past few years with an extra stress cushion, and we feel very well positioned today. Given our experienced team, resilient business model, fortress balance sheet, credit expertise, and long experience serving the nonprime consumer. We also continue to make excellent progress on our strategic initiatives, which is positioning us well for long-term profitable growth. Let me provide a few of the highlights of the quarter. Capital generation of $194 million was up 25% year over year. C&I adjusted earnings were $1.72 per share, up 19%. Our receivables grew 12% year over year, and total revenue grew 10%. Originations grew 20% or 13% on an organic basis. We continue to acquire high-quality customers at attractive pricing, even as we maintain the same conservative underwriting posture that we have had over the past two and a half years. The strong originations are a result of the continued constructive competitive environment and our expanded use of granular data and analytics as well as product innovation to opportunistically drive growth. Turning to credit, the positive trends in delinquencies that we saw emerge in 2024 have continued, and those trends are resulting in lower net charge-offs. Our 30-plus delinquency was 5.08%, which is down 49 basis points year over year as compared to up 28 basis points at this time last year. C&I net charge-offs were 8.2% in the quarter, down 49 basis points compared to the first quarter last year. And consumer loan net charge-offs were 7.8%, down 75 basis points year over year. These results reinforce our view that we are coming down from peak losses in 2024 and have a lot of tailwinds behind us. We now provide access to credit to over 3.4 million customers, up 14% from a year ago. A substantial portion of that growth is attributable to our Brightway credit cards and OneMain Auto. We view these products as important to our future growth strategies as we acquire and engage our customers across our multiproduct platform. In our credit card business, we ended the period with $676 million of card receivables. While we have been measured in our credit card growth, given the uncertain market conditions, we remain focused on building a resilient and profitable business for the long term that provides great value to our customers and attractive returns for our shareholders. In our auto finance business, we ended the quarter with $2.5 billion of receivables. Credit performance remains in line with expectations and better than comparable industry performance. We continue to drive efficiencies between our legacy independent dealer business and newer franchise dealer business as we build a world-class auto finance platform for the future. Similar to personal loans, our underwriting posture in credit cards and auto remains conservative. That said, we continue to invest in these businesses for the future. As we are quite confident that these products are attractive to the consumers that we serve. We are prepared to ramp growth at the appropriate time. Let me talk for a couple of minutes about the recent uncertainty caused by trade policy. I obviously do not know the final outcome of tariff negotiations, nor do I know the second-order effects on economic growth, employment, inflation, or interest rates. What I do know is that to date, we are not seeing any weakness in the consumers that we serve. And that I believe we are uniquely positioned to manage during these uncertain times. We have one of the strongest and most diversified balance sheets in the industry. We maintain 24 months of liquidity runway at any given time. Even if we keep the current pace of originations, we have already prefunded much of what we need for the year, leaving us a lot of flexibility in terms of how and when we fund. For the rest of the year, we have multiple options, including issuing unsecured debt, issuing ABS, or should we need to, drawing from our $7.5 billion of available bank lines. And we expect our interest expense to stay within a tight range since we have set up our debt stack with fixed-rate long-dated, staggered maturities. From a credit perspective, for almost three years, we have been applying an additional 30% stress assumption to our credit models. On top of the stress that we have already seen in the past few years. This means that if the losses on the loans we originated since the summer of 2022 saw 30% stress, we would still clear our 20% return on equity hurdle. Stated another way, even if we see increases in inflation or unemployment, we have built-in cushion for our book to remain very profitable. We have a lot of experience managing our business in uncertain times. We are maintaining our already conservative credit posture and are very alert to any changes we see in our customer behavior. I feel confident that our team, business model, balance sheet, credit expertise, and experience serving the nonprime customer positions us very well to manage anything that comes our way. We have also been making progress on long-term strategic options. Let me spend a moment discussing our recent application to the Utah Department of Financial Institutions and the FDIC to form OneMain Bank. An industrial loan company, typically referred to as an ILC. First, I want to be clear that if our application is not approved, we feel very confident in the current business plan that we laid out at our Investor Day and are executing on now. It would be great if we got an ILC, but it is not necessary for the success of OneMain Holdings, Inc. If approved, the ILC would be a small subsidiary of OneMain Holdings, Inc. It would not affect our capital allocation strategy because with an ILC, our parent company would not become a bank holding company. There is real strategic value in a subsidiary industrial bank because it would allow us to provide access to credit to more customers and drive capital generation. It would also allow us to diversify funding, simplify our operating model, and drive some operating efficiencies in our credit card business. In terms of timing, while we believe we are uniquely qualified for approval, there is no guarantee that our application will be granted, and it is difficult to say how long the process might take. Let me close on capital allocation, where our priorities are unchanged. We continue to focus on the long-term success of our business, including strategically investing in our expanded product set, data science, and digital innovation as well as profitable growth. Our regular annual dividend of $4.16 per share yields about 9% at today's share price. We repurchased 323,000 shares for approximately $16 million during the first quarter. We will continue to pace our repurchases based on a number of factors, including excess capital available, economic conditions, and market dynamics. With that, let me turn the call over to Jenny.
Jenny Osterhout: Thanks, Doug, and good morning, everyone. I will start by summarizing our quarterly results as our strong performance this quarter supports our confidence in our unchanged full-year outlook. Our results are highlighted by receivable growth from increasing high-quality originations, robust growth in total revenue, ongoing disciplined expense management, and steady improvement in credit performance. Together, these led to improving returns on a larger portfolio and therefore, growth in capital generation and capital generation return on receivables. We also further strengthened our balance sheet, raising $1.5 billion in both the secured and unsecured markets, demonstrating our leading market access and funding execution. First quarter GAAP net income was $213 million or $1.78 per diluted share, up 38% from $1.29 per diluted share in the first quarter of 2024. C&I adjusted net income was $1.72 per diluted share, up 19% from $1.45 in the first quarter of 2024. Capital generation, the metric against which we manage and measure our business, totaled $194 million, up 25% or $39 million from $155 million in the first quarter of 2024, reflecting growth in our loan portfolio and notable improvement in our credit performance. We have returned to year-over-year growth in capital as we have successfully navigated through what has been and continues to be a challenging post-COVID inflationary environment affecting our customers. Further proof that our responsive, customer-focused operating model and advanced analytics give us a significant advantage to manage through any economic scenario. Managed receivables ended the quarter at $24.6 billion, up $2.6 billion or 12% from a year ago. First quarter originations were $3 billion, up 20% year over year. Excluding the acquisition of Foresight, our auto finance business focused on franchise dealerships, our organic originations growth was 13%, demonstrating our ability to find profitable pockets of growth in higher quality origination segments of the near-prime market. I want to point out that as of April 1 of this year, we are a year post-acquisition of Foresight, so we expect total origination growth will moderate closer to our year-over-year organic growth percentage going forward. If strong origination growth has been supported by consumer loan origination APRs, that have remained steady and healthy at 26.8%. First quarter consumer loan yields were 22.4%, up 20 basis points from the fourth quarter and up 28 basis points year over year. Consumer loan yields are benefiting from the pricing we have taken since mid-2023, which have more than offset the impact of growing our lower yield, lower loss auto finance portfolio. Given the constructive competitive environment, we were able to sustain the improved pricing. Looking ahead, we expect modest improvement to yield. How exactly yield will trend is dependent on several factors, including pricing, which will be influenced by the competitive landscape, our 90-plus delinquency performance, and the mix of our portfolio between our personal loans and our auto finance product. Total revenue was $1.5 billion, up 10% compared to the first quarter of 2024. Interest income of $1.3 billion grew 11% year over year, driven by receivables growth and the yield improvement I just mentioned. Other revenue of $191 million grew 6% compared to the first quarter of 2024, primarily driven by higher gain on sale and servicing income associated with the expanded whole loan sale agreement I discussed on our last earnings call. Interest expense for the quarter was $311 million, up $35 million compared to the first quarter of 2024, driven by the increase in average debt to support our receivables growth and modestly higher cost of funds compared to a year ago. On the latter point, interest expense as a percentage of average net receivables in the quarter was 5.4%. This is in line with our expectations for the full year. As you know, our balance sheet strategy to issue fixed-rate, longer-dated securities minimizes the impact from market fluctuations in any given year. We expect this metric to remain steady through 2025. First quarter provision expense was $450 million, comprising net charge-offs of $473 million and a $17 million decrease to our reserves driven by the typical seasonal decline in receivables during the first quarter. As our loan loss ratio remained flat quarter over quarter. I will discuss losses in more detail momentarily. Policyholder benefits and claims expense for the quarter was $49 million, essentially flat to prior year. And we continue to expect quarterly PBMC expense in the low $50 million range over the remainder of 2025. Let's turn to slide eight. Look at consumer loan delinquency trends. 30-plus delinquency at March 31, excluding Foresight, was 5.08%, down 49 basis points compared to a year ago, benefiting from improvements in both early and late-stage delinquencies. The seasonal quarter-over-quarter trend improvement of 57 basis points is also better than pre-pandemic patterns. Our thirty to eighty-nine day delinquency was 2.63%, down nine basis points year over year, continuing the downward momentum we saw a quarter ago. We are pleased with our improving credit metrics and anticipate these positive delinquency trends will continue to enhance our loss performance in the upcoming quarters. On Slide nine, you see our front book vintages, comprised of consumer loans originated after our August 2022 credit tightening, now make up 87% of total receivables. The performance of the front book remains in line with expectations and will result in improved credit trends in our portfolio going forward. While the back book continues to diminish, now only accounting for 13% of the total portfolio, it still represents more than a quarter of our 30-plus delinquency. We anticipate that the back book will continue to run down over the remainder of this year with negligible contribution by year-end. Let us now turn to charge-offs and reserves as shown on slide 10. C&I net charge-offs, which include credit cards, were 8.2% of average net receivables in the first quarter, down 49 basis points from a year ago. This marks the first quarter since 2021 where C&I losses improved as compared to prior year. Following the trends we saw in early delinquency in the second half of 2024. This gives us confidence in the trajectory of losses for the year and aligns with our expectation for notable improvement in net charge-offs in 2025 compared to 2024. Consumer loan net charge-offs, which exclude credit card, were 7.8% in the quarter, down 75 basis points year over year. We commented a year ago that we expected consumer loan peak losses in the first half of 2024. And we are seeing losses trend down as anticipated. Recoveries remained strong in the quarter at $88 million or 1.5% of receivables. Recoveries in the quarter included approximately $12 million of bulk sales of charged-off loans, a similar level to the first quarter of 2024. We continue to opportunistically utilize the many strategies we have available to optimize recovery. Loan loss reserves ended the quarter at $2.7 billion. While the credit performance of our portfolio is improving, as you can see in our charge-off and delinquency metrics, our reserve coverage stayed essentially flat during the quarter as we maintained our conservative macroeconomic overlay in our reserve formula. Keep in mind that our loan loss reserves include our credit card portfolio, which has higher loss that are more than offset by the greater than 30% revenue yield that the credit card product generates. The credit card portfolio naturally carries a higher reserve ratio, and although it is still a small portion of the total portfolio, it currently contributes about 30 basis points to the overall reserve ratio. We feel very good about our reserve levels, but recognize that the economy is evolving. And we will be prepared to adjust reserves if needed, going forward. Now let's turn to slide 11. Operating expenses were $401 million, down 5% from the fourth quarter and up 11% compared to a year ago. For context, on the year-over-year comparison, the first quarter of 2024 did not include Foresight expenses and was also lowered given expense reduction actions in the quarter. We feel great about the operating leverage in the business, and our expense ratio of 6.6% this quarter was down from 6.8% last quarter and in line with our expectation for full-year 2025 as we drive operating efficiency while also investing for future profitable growth. Now let us turn to funding and our balance sheet. On slide 12. During the quarter, we raised a total of $1.5 billion through two issuances. In January, we issued a five-year revolving $900 million auto ABS issuance with an average cost of funds just under five and a half percent. In March, as the markets began to get more volatile, we issued a $600 million unsecured bond at 6.5%. The seven-year tenor of this bond provides rate flexibility with a three-year call feature and extends our maturity profile into 2032. During the quarter, we increased our secured bank lines further strengthening our liquidity profile. Our bank facilities totaled $7.5 billion at quarter-end, with unencumbered receivables of $10.2 billion. We proactively raised $1.5 billion this quarter and have increased our liquidity profile. This, combined with our diversified funding sources, provides flexibility in our funding strategy over the remainder of the year. Our robust funding model with unparalleled market access and execution regardless of the environment, gives us a competitive edge. We are diligent in our focus on maintaining our fortress balance sheet and see it as a true advantage, especially in times of uncertainty. Net leverage at the end of the first quarter was 5.5 times, slightly below last quarter. Turning to Slide 14. We are maintaining our 2025 guidance that we provided to you last quarter. We had a strong first quarter and are confident in our ability to successfully manage through uncertain economic environments as we have demonstrated time and again. For full-year 2025, we expect to grow managed receivables by 5% to 8%, and total revenue by 6% to 8%. We expect C&I net charge-offs of 7.5% to 8%. And an operating expense ratio of approximately 6.6%. All of which we expect will drive improved capital generation as compared to 2024. To date, we are not seeing any weakness in the consumers we serve, but we are closely monitoring the markets for shifts that may impact our customers. We believe the resiliency of our business model and the experience of our teams allow us to manage comfortably within the ranges that we provided you in January. In summary, we feel great about the start of the year. Our book continues to perform well, and we believe we have solid momentum moving forward. This positions us well to deliver exceptional shareholder value in 2025 and throughout the years ahead. And with that, let me turn the call back over to Doug.
Doug Shulman: Thanks, Jenny. I'll just reiterate. We delivered a strong quarter across our entire business. From credit to originations to funding to expense management. All of which sets us up for continued growth in capital generation. We are confident in the unique strength of our business model and our strategic initiatives, and we have positioned OneMain Holdings, Inc. very well for the current environment and for the long term. I'll close by offering my thanks to all of the OneMain Holdings, Inc. team members for their continued dedication to help our customers improve their financial well-being. With that, let me open it up for questions.
Operator: The floor is now open for questions. At this time, if you have a question or comment, please press 1 on your touch-tone phone. If at any point your question is answered, you may remove yourself from the queue by pressing 2. Again, we do ask that while you pose your question, that you pick up your handset to provide optimal sound quality.
Moshe Orenbuch: Great. Thanks so much, and congratulations. Doug, I was hoping you could expand a little bit on the benefits you know, of the ILC. What it what it can do in terms of, know, you talked a little bit about market expansion. You know, talk can you can you discuss that just in a little more detail? Thanks.
Doug Shulman: Sure. Hi, Moshe. How are you doing? The look. As as I've said, we think that the ILC if it's approved, will be additive to our strategy. Not necessary, but additive. And it'll drive some extra capital generation for our business. I think it complements our overall strategy to be the lender of choice to the nonprime consumer, The benefits as we see them, and we've you know, gone through this in detail, is over time, we'd be able to serve more customers because a unified nationwide rate structure allows us to price for risk and there's some states where we have you know, we abide by state rate caps. We voluntarily cap our rates. At 36%, but there's some places where we don't take on cuts because they pose too much risk because we can't price for it. So that's one for market expansion. It also would allow us to simplify our operating model. Right now, we have you know, laws in 47 states that we abide by the different different loan caps, you know, different structures, different rates with different structures. So it would provide some operating efficiency in that way. We'd obviously get access to funding, which would be a nice of our, or to deposit funding, which would be a nice diversification of our balance sheet. And right now, we use a partner bank as the issuing bank for our credit card. So we'd be able to have our own bank as the issuing bank for our growing credit card. Portfolio. One of the keys to the IOC, though, is we'd be able to do all of that and get all those benefits without the parent company becoming a bank holding company and all of the attendant capital, implications that come with bank holding company status. So we think it would be great to get an eye We put the work in. We're having constructive dialogue. With the FDIC and the state of Utah and you know, we'll we'll keep going down that path. Got it. Got it. Maybe just on on credit, I guess, you know, you mentioned in the slides Jenny, you spoke about it, that there's been essentially better performance on the late stage, if you will, early stage kind of being in line with seasonal patterns in the late stage kind of better than. Is there, some underlying reason there that that that is happening? Is it that the you know, the performance is does it in any way relate to the front book, back book performance And any kind of help you can give us there would be would be good. Thanks.
Jenny Osterhout: Thanks, Moshe. You know, I think you you're spot on. We are seeing modest improvement in those roles from delinquency to We find that an encouraging sign There is a bit of noise from our newer auto product. But even when we look at the roles from 30 to 89 to loss for consumer loans excluding Foresight, we find the trends are modestly better than what we typically see. So And I should say, we're also seeing this in cards. But it's a newer book. So we don't quite have a view of tip what typical looks like yet. I'm hesitant to call it a trend yet. We're monitoring it closely. And we obviously think it's a positive trend. And if it continues, it could help us achieve the lower ends of our guidance range. But right now, we're we're watching it, and pleased to see it.
Moshe Orenbuch: Thanks very much.
Operator: And our next question is from Mark DeVries of Deutsche Bank. Your line is open.
Mark DeVries: Yes. Thanks. Yeah. It makes a lot of sense that your reserve ratio is mostly unchanged. Despite the strong credit trends just given the macro uncertainty. Though if uncertainty doesn't really transition to a weaker economy, how should we expect that reserve ratio to kind of move over the course of the year these strong credit trends hold?
Jenny Osterhout: So thank you. It's a it's a good question. I mean, as you know, CECL is is pretty complex. We forecast those expected losses for the lifetime. Incorporating past, current, and expected future performance. So it's it's primarily driven by current book performance. Looking at the direction of our delinquency, looking at those roll rates, I just talked about, our recoveries, and our credit mix. There's a little bit of product mix as well, which the growing credit card portfolio and the pressures. That puts a little bit of pressure on on the reserves. While the growing auto portfolio helps bring reserves down a bit. So a lot of it depends on that mix and how our products grow. And then, obviously, as you as you mentioned, there's the expectations about the future and unemployment and inflation, which go into the overlay. So I think given there's more uncertainty today than we have in prior quarters, this is one time when I really want to say we're going to wait and see how it plays out in terms of where reserves will go going forward.
Mark DeVries: Okay. Got it. And then Doug, in your prepared comments, you alluded to the, you know, kind of the ability when you're ready to kind of accelerate growth in the new products. Just curious what you want to see before you really look to accelerate the growth in card and auto?
Doug Shulman: Yeah. I mean, I think a lot of it is the macro uncertainty We're know, these are newer products. We're not in a rush. We're solidifying the platform In auto, we've put the two companies together. We've moved on to one technology. We've built our credit models over multiple years and have combined those models and teams. We've got a very good cost structure, and we can leverage a bunch of the cost structure that we already had. At OneMain Holdings, Inc. And so we're spending this time solidifying that platform similar with card, you know, great value proposition. You know, very good utilization rates, engagement rates on the app, We've been driving down the unit cost as it as we scale the product. And so a lot of what we're doing now is just hardening those platforms. I think there's, you know, no magic you know, number indicator that's gonna tell us it's time to grow. Like, as long as we keep seeing steady credit performance, we've got 30% stress overlay on those new, businesses. Once we start feeling that we're kinda fully out of the woods, from the inflation driven credit cycle that we saw for the past three years will be the time will likely accelerate.
Mark DeVries: Got it. Thank you.
Operator: Our next question is from Rick Shane of JPMorgan.
Rick Shane: Look, one of the things we see in the first quarter results is, a nice benefit from recoveries on the charge off rate. I'm curious if that is a function of stronger used car prices, or it is a function of basically catch up. You have more recoveries as you emerge from this period of elevated charge offs than what you expect in terms of recoveries going forward?
Jenny Osterhout: Thanks, Rick. I'll I'll this is Jenny. You're you're right. We we do continue to see strong recovery performance and positive trending above those pre pandemic recovery level We had about $88 million in recoveries this quarter. And that includes about $12 million of post charge off debt sales. So that's in line with our first quarter 'twenty four. In terms of in terms of debt sales. So there's not much of a shift there year over year. We're we're really looking at the value of internal versus external collections with those bulk sales and making sure we maximize the economics. You know, I don't think this is really a matter of used car prices. Obviously, that's something that we'll watch for the future. But for today, I think it's really just generally the the work that we're putting in, and we like where our recoveries stand. I think you could expect something similar for the future.
Rick Shane: Got it. And on sales of charge off receivables, how is pricing compared to a year ago?
Jenny Osterhout: In terms of the sales you know, we we've seen that I'd say, it's slightly down in terms of compared to a year ago. But it's pretty stable. I mean, we're still seeing demand for those for those sales.
Rick Shane: Terrific. Thank you very much, Jenny.
Operator: Our next question is from Michael Kaye of Wells Fargo. And, Mr. Kaye, you may wanna check your mute switch.
Michael Kaye: Oh, sorry about that. I had a quick question on the ILC. So, you know, if you're are in fact approved I wanted to confirm, do you plan to put all your originations through the bank not just a relatively small amount of prime loans which will likely stay in the bank, I mean, you could probably see that the ILC is gonna expand the consumer's access to credit, but you know, critics might say this is just an attempt to bypass state usury laws. By pushing all the originations through a small LLC bank. Just love to hear your thoughts on that.
Doug Shulman: Yeah. We you know, I I I talked you know, on the first question, gave you all the benefits of ILC, unified rates structure, simplified operating model, access to deposit fundings, issuing banks for the credit card, it's a unique bank license, which wouldn't make us a bank holding company as a parent, which we all which we think would would be positive. We all we obviously cap our rates So words like usurice, Michael, we fully reject. We're a responsible lender who provides great value to our customers. If we had an ILC, our rates wouldn't go higher than our max rate is now. And we would put a bunch of our loans through, the ILC not just the loans that would stay there, but we'd also be keeping you know, a good portion of loans in the ILC. Alright.
Michael Kaye: I know you don't I don't see disclosing it in in the press earnings press release, but, you know, I calculated credit card net charge off rate, you know, very high. It's up to 20%. Up from 17% last quarter. I just wanted to confirm your still comfortable with the credit performance.
Jenny Osterhout: Yep. Thanks. Michael. This is Jenny. So our our this quarter, you're closed. This quarter, our card losses, which will come out it'll come out in the Q, were 19.8% This quarter, those losses were actually a bit better than our expectations. Seasonally, on cards are higher in the first half of the year. So they did go up some. But again, they're better than our expectations. The book has been growing, and it's small. And it's seasoning. So there's some of that dynamic. And for the long term, we still feel quite good about where it's going and we like the returns for the business. Remember, it has an over 30% revenue yield, which includes annual fees, late fees, and the losses, we still expect to be in that 15% to 17% range. So supporting really good return on receivables in the long term.
Michael Kaye: Okay. Alright. Thank you.
Operator: Our next question is from Mihir Bhatia of Bank of America.
Mihir Bhatia: Right. Question about here. Yeah. Hi. Good morning. Thank you for taking my question. Wanted to start with the yield outlook and the competitive intensity. I think Jenny, you mentioned in your comments that there's modest improvements in yield still. Or potentially subject to competitive intensity. So maybe just talk that a little bit. What are you seeing in the market? Did you see competitors pull back in April with the noise around macro and tariffs? Just any comments on competitive intensity that you're seeing? Thank you.
Doug Shulman: Yeah. Look. The competitive environment remains constructive for us. In the quarter, we didn't see any massive shifts from what we've talked about before. We're still able to get double-digit originations growth. With you know, about two-thirds of our loans in our top two risk grades, and we've gotten some price improvement along the way. So we're able to compete very well in this competitive environment. You know, Competitors can still get access to capital. But as you know, the debt markets have been very volatile. And the strength of our balance sheet and gives us the ability to get tighter spreads than a lot of our competitors. And, also, we have plenty of access to funding, and that can be volatile in this kind of a market. And then, you know, a bunch of folks in the competitive landscape of the tech players have ebbed and flowed around, you know, how much they've originated over the past three years since there's been, some dislocation caused by inflation. You know, our customers and the customers who come to us, tell us they appreciate that we've been consistently in the market available to provide access to credit, to nonprime customers through thick and thin. And so I think it positions us well in the market. So we, we haven't seen any major changes from the fourth quarter, but we're still seeing a constructive competitive environment.
Mihir Bhatia: Okay. Thank you for that. And then maybe just switching gears back to credit for a second. Your credit outlook assumes no inflation. With tariffs coming, what I wanted to understand a little bit more was the impact of inflation on your credit performance. How fast does it come through given that you tightened underwriting, added that 30% stress layer How would it be a little different now compared to, like, 2022, 2023 when you when inflation had an effect on your losses? Just trying to understand just the tolerance around that assumption, if you will. Thank you.
Doug Shulman: Yeah. Let me let me take it and give you directionally stuff. First, I I would correct you Our credit outlook does not in expect no inflation. We within the range, it can tolerate some inflation. Second of all, you know, the 30% stress that we put on all originations you know, assumption which effectively tightened our credit box pretty significantly. In August of 2022, remains in place. And so what that means is if the performance of our credit you know, our models basically our models are run, and on a regular basis, they are updated, and they assume current credit performance. So in '22, '23, twenty four, they were assuming credit current credit performance, had some elevated delinquencies. We said even if losses are 30% higher at their peak, we would still meet our 20% return on hurdle. So we underwrite to our return on equity hurdle. We feel very that there's still some cushion. You know, in our book, if we saw either inflation or unemployment start to tick up. I think the exact effects of inflation, very hard to predict. I mean, we saw it in the cycle when there was massive inflation. The whole industry saw stressed credit. What small ticks of inflation would do is a little unknown, but we've been underwriting. So we feel well prepared for it if it was happen.
Mihir Bhatia: Got it. And apologies for misspeaking. I I do see it's no significant changes in the vision. Thank you.
Operator: Our next question is coming from Kyle Joseph of Stephens.
Kyle Joseph: Hey. Good morning. Thanks for taking my questions. Most most have been answered. But just wanted to get a sense. Obviously, you guys have a have a tremendous portfolio of of consumers across a number of products. But just wanted to to hear if you're seeing any sort of shift in consumer behavior. Obviously, we see the data in terms of consumer comp But on the auto side, was there any sort of pull forward on the card side? Have you seen any sort of spend or volume discrepancy And then, I guess, in terms of on the personal loan, any sort of shift in demand or willingness to borrow or or less of a willingness to borrow, I'd say.
Doug Shulman: Yeah. I mean, look. What I'd say is, you know, everyone who's alive and awake in April twenty twenty five, it feels like it's a very volatile environment. With the stock market swings and all the press. But on our book, to date, we're really not seeing any of that. We're seeing good demand across our product, We're seeing really steady and predictable credit trends, which because of the way we've managed our business, are all headed in the right direction know, we actually, do a structured survey of our branches to get feedback. And we didn't see in the first quarter any change in sentiment from what they saw in the previous quarters. And so, you know, we really like, our consumer is not seeing the stress. We're not seeing it on our books, and we feel actually quite positive about you know, kind of everything we're seeing in our business.
Kyle Joseph: Okay. Got it. Great. Thanks for taking my question.
Operator: Our next question is coming from Vincent Caintic of BTIG.
Vincent Caintic: Hi, good morning. Thank you for taking my question. I had a follow-up on the credit reserve rate. So a lot of good results and commentary about credit performance and looking at that credit reserve rate of 11.5%, I assume that it would have with the credit trends, would have otherwise gone lower. So I just want to understand that 11.5%, how much conservatism is baked in? If you can maybe talk about the assumptions you're making, like know, with macro trends like unemployment rates, And what would cause credit reserves to have to change? Like, I I would assume that you can even hit the high end of your loss rate guidance of 8.8% and still be okay with that 11.5%. So I just want to understand the level of conservatism that's baked into that.
Jenny Osterhout: So just to start with our the macro assumptions because I think that might be the easiest place to start here. You know, we we really factor in from a number of sources, but mostly survey of a Economists and Moody's Analytics and that assumption was raised modestly quarter over quarter. We review both the baseline scenario, and we also look at downside scenarios as part of our process. So to the extent that we see those assumptions change, those would impact our our macro overlay. Today, we have an assumption on unemployment that Pete said about 12 about 6% at about twelve months. Based on the those forecasts. And so we'll be watching and adjust those as And then I I mentioned before, but you know, yes, it's primarily driven by current book performance, but there's also that product mix element. So to the extent that we have more card than expected, I think there could that could be some pressure on that. Reserve rate. And then you know, to counter that auto, provide the slightly lower reserve rate. I would just say those two do not move in. They they move against each other, but they aren't of equal sizing. So I really know, in terms of where that will go for the for the future, I think right now, just given the amount of uncertainty we we really have to wait and see where that reserve rate will go.
Vincent Caintic: Okay. That makes sense. Thank you. And then kind of relatedly, if you could talk about your underwriting posture. It doesn't sound like that has changed even with credit seemingly getting better. If you could talk about what it would take to either feel more comfortable or on the other hand, like, you know, what macro conditions where you'd have to feel like you would tighten further. Thank you.
Doug Shulman: Yeah. Look. We we run a nationwide portfolio of risk. And you know, it all rolls up in aggregate But in reality, we run you know, hundreds of cells based on product geography, channel, risk grade, You know, I think at this point, we're not taking our you know, the one macro overlay, which is a 30% stress buffer off. If there wasn't, you know, as much new uncertainty in the in the environment, we might have thought about that given how positive our on book credit trends are, but we just don't think it's prudent to be loosening our box you know, sitting here today. We also run what we call weather vane testing. So we're always running a sliver You know, we we take our 20% ROE assumptions and you know, the factors that go into that is the price, the losses, the cost of acquisition, the funding, you know, the funding cost that goes in there and, obviously, the operating that goes against, you know, the different products. And so we we need to underwrite a loan that will make 20% ROE. We're always doing a sliver between, you know, 15-20% that's negligible. It's not gonna show up in our overall numbers. But to see if the loans that we're not underwriting don't meet our credit box actually would get us that 20% ROE because there's nothing like actual data to get there. A bunch of those weathervane tests are actually bumping up against the 20% ROE. Threshold, that'll be a factor, that we use. And, you know, again, I've said this before. Not probably gonna just open up the box whenever it happens or and, generally, we don't just tighten the box. It was, you know, unusual that we just put a full 30% stress on. It's you start to see different performance in pockets. Maybe in one state, maybe with a secured product, maybe with an unsecured product, maybe coming out of a a digital channel versus a branch channel, maybe coming out a lower risk grade or higher risk grade. And we do micro adjustments all the time. And if we started to loosen or started to tighten, it would most likely be around a segment, not the whole book.
Vincent Caintic: Great. That's very helpful. Thank you.
Operator: Our next question is coming from John Pancari of Evercore ISI. Your line is open.
John Pancari: Morning. Back to the card portfolio. How is if you could comment just a little bit on how credit card delinquency formation is trending? Is that all trending in line with expectations like you noted for the card charge offs? And then on the charge off front for card, I know you noted the 15 to 17% loss rate target and that it's trending in line with that. Is that 15% to 17% target an expectation for 2025? Or is that more of a longer term expectation for that book? Thanks.
Jenny Osterhout: Thanks. Let me start with your second question first. So I think in terms of that nine going from '27 and getting to 15% to 17% this year, that is that is not our expectation for this year. That's more of a longer term where we think the book the book will settle. And, again, I I mentioned that seasoning, but this is really once we start to have growth and it becomes sort of a a a regular book. We call it a teenage book today. So I think we still have very good line of sight to those those good returns over time, but I would not say that's a 2025. Guide. And then in terms of card delinquency and card credit, at the start of the we're really seeing positive trends. And I think it's probably a combination both of our customer base and our customer base doing quite well. And then also, this team and again, calling it a teenage business but we're working very hard in terms of how we're working on credit, how we're working on collections. And various pieces. So I think it's both a improvement in capabilities as well as an improvement in the our card book itself.
John Pancari: Got it. Okay. Thanks, Jenny. And then separately, I think you're sitting on relatively solid capital levels here. From the standpoint of of M and A, I wonder if you could discuss any interest in future acquisitions here to build out the areas of growth, including auto in addition to the Foresight deal, and then potentially on the card side or even on the insurance side? Is there you could just talk about any interest there to look inorganically for deals? Or do you think that opportunity would be kind of a put to the sidelines here as you focus on the ILC?
Doug Shulman: I mean, look. We feel very comfortable with our organic growth plan and the strategy we laid out at our investor day a little over a a year ago. And you know, between our personal loan business, which we've been doing for a long time, we do very well, you know? And expanding that personal loan business to have different kinds of products within it, to have digital channels as well as phone channels and branch channels, we feel very good about that organic growth path. I think on card, we're well on our way. You know, as Jenny said, the book is starting to season a little bit. We're we're developing that platform. And similar to auto. With that said, we are always opportunistically looking at things. I mean, we went out actively to find to get the auto business to a, to the next level and bought foresight. But we will take a look at know, we'll we'll look at platforms as they come available. We don't need them. But if we find one that strategically fits, culturally fits, we feel it's super buttoned up from a regulatory standpoint like we are obviously, the financials, work, we consider it. Similar with card, there have been a bunch of card platforms in the market. We passed on on them in the last day or two I mean, in the last year or two, but we, you know? So it it's a long way of saying we're active in the market, but we're discerning buyers, and we will only do an acquisition if it makes sense and is gonna be, you know, very positive for our shareholders. Looks like we are out of time. Wanna thank everyone for being on the call. Obviously, reach out to the team with any questions, and we'll look forward to the ongoing dialogue. Everyone, have a great day.
Operator: Thank you. This does conclude today's OneMain Holdings, Inc. First Quarter 2025 Earnings Conference Call. Please disconnect your line at this time. And have a wonderful day.